Operator: Good afternoon, ladies and gentlemen. Welcome to 2015 Third Quarter Results Conference Call. I would now like to turn the meeting over to Mr. Louis Juneau. Please go ahead, Mr. Juneau.
Louis Juneau: Thank you. Good afternoon, everyone. And welcome to the Uni-Select 2015 third quarter financial results conference call. Before we proceed with the presentation, I would like to remind you that certain information discussed during this call may constitute forward-looking information within the meaning of Securities Legislation. Caution should be used in the interpretation of such information. For details, please refer to our disclaimer regarding forward-looking information in our latest annual report available on SEDAR, as well as in the press release issued yesterday. Joining me this after are Henry Buckley, President and CEO; Gary O'Connor, President and COO, Automotive Canada; Steve Arndt, President and COO, FinishMaster; Martin Labrecque, Vice President, Finance and Control, as well as Eric Bussières, CFO appointee commencing on November 30, 2015. I will first turning the call over to Henry, who will outline the key highlights of the last quarter and present some of Uni-Select’s ongoing operational priorities. Martin will then discuss the few important financial items for Q3. After their presentation, we will open up the call to questions. Henry?
Henry Buckley: Thank you, Louis, and good afternoon, everyone. Thank you for joining us. Let me start-off by saying, how pleased I am with our Q3 results. I am particularly delighted to see the balance contribution of both our groups, Automotive Canada and FinishMaster to our growth. On a consolidated basis sales grew 4% organically in the third quarter. Our performance mainly driven by the success of our ongoing customer recruitment efforts by the paint and related products teams, as well as the enhanced sales focus and our specific commitment to further improve fill rates in the Automotive Products segment. We also sparing no efforts to always improve our delivery times and equality of our customer services across both groups, sharpening our competitive edge in doing so. The third also marked the first complete three-moth period with results that entirely exclude the sell of Uni-Select USA, Inc. and Beck/Arnley Worldparts activities. Accordingly, we're starting to see the emergence of Uni-Select’s new profitability profile. In Q3 our adjusted EBITDA margin reached a record of 9.4%, up 2.6 points from last year. Net earnings were up 6.1% at $15.7 million. While net earnings per share reached $0.73, up from $0.70 last year. Once converted to Canadian dollars, adjusted earnings at US$0.73 per share reached Canadian $0.95 for the third quarter that is up 18.8% compared to $0.80 in 2014. In Canadian Automotive, organic sales grew by 4.4% in the third quarter. Our efforts enhancing our product offering, as well as the success of the ongoing strategy to improve fill rates to which I referred to you a moment ago are both enhancing the quality of our customer service in a very measurable way. The sales of our paint and related product segment grew 8.8% to $162 million, up 3.8% organically. Segment EBITDA which compares apples-to-apples in the case of FinishMaster reached $18.3 million, up 15.1% versus last year. This solid performance is mainly the result of purchases made ahead of price increases, improved fixed expenses coverage in relation to organic growth, and of course, the integration of our recent accretive business acquisition. Beyond organic growth, we have also completed several accretive acquisitions over the course of Q3 and shortly after the quarter end. As we work hard to ensure these effective -- ensure their effective integration, the newly acquired entities will enable us to strengthen our leadership position from coast to coast both in Canada and in the U.S. In the automotive parts segment we completed the acquisition of -- the assets of C.B. Hoare Automotive Parts and Duncan Auto Parts adding to the Uni-Select two terrific businesses with a solid reputation in their respective markets. These five locations are now part of the Uni-Select Canada’s corporate store group. In the paint and related products segment we announced the acquisition of the assets of Painters Supply Co in Colorado. This acquisition help extent FinishMaster service capability and customer density in the Denver and Fort Collins metropolitan areas and expanded our operations in the important industrial and architectural segment. In Q3 we also expanded our operations in the State of California and Wisconsin. We announced the acquisition by FinishMaster of the assets of Auto Paint Specialists, a renowned aftermarket distributor in Wisconsin. We also acquired the assets of Dan's Distributing in Northern California in addition to opening our first FinishMaster branch just outside Seattle in Washington State. This was a greenfield location. After the quarter end, we announced two strategic acquisitions in the province of Quebec, with the acquisition of the remaining 50% equity interest in Pièces d'Autos La Malbaie and all of the assets of Pièces d’Autos AFCAR. These acquisitions are building solid foundations to pursue the expansion of our corporate stores network both in Quebec and across Canada. All these acquisitions are in perfect alignment with our firm commitment to further consolidate our leadership in automotive products distribution in Canada and in the paints-related products industry in the United States. Before I conclude my remarks and discuss our ambitions for a strong finish to the year, let me now turn the call over to Martin Labrecque. Martin?
Martin Labrecque: Thank you, Henry. Good afternoon, everyone. Before anything, I would like to remind you again that as a result of the closing of the fair transaction on June 1, the third quarter results presented today and discussed on this call exclude the results of Uni-Select USA and Beck/Arnley Worldparts both on a consolidated basis and within the automotive segment, now that compares probably against third quarter of 2014, which includes these assets. The same hold true for the first five months of our year-to-date results. Another important factor to consider when analyzing our results is the weakening of the Canadian dollar. As it has been the case for two quarters in the row now, the declining dollar continued to be an important factor when comparing our results year-over-year. In this quarter alone, the lower Canadian dollar accounted for 17.5% of sales decline in the automotive sector. That being said, let me remind you that currency fluctuations do not have significant impact on cash flow for instance. We started Q3 as we have been applied the transactions net cash towards our outstanding debt. Over the course of the quarter, net cash was mostly used for business acquisition, investment in inventory, share repurchase through our NCIB program and payments to Uni-Select USA suppliers in relation to the vendor financing program. As of September 30, the corporation had 50 million in cash and 400 million in available credit facility. This provides Uni-Select with the necessary resources to pursue its globe effort by actually taking business acquisition opportunities. Now entering in the last quarter of fiscal 2015, we reiterate further indication that we are on target to meet or exceed sales forecast of 1.1 billion on an annualized basis, of which approximately 60% should be under finished matter and adjusted EBITDA in the range of 7.5% to 8.5% of sales. As a reminder, the second and third quarters are traditionally our largest ones in the year and given our fixed cost structure caution should be used in extrapolating our Q3 EBITDA margin over a full year. Finally over the course of the third quarter, we also announced that the Board of Directors of Uni-Select approved the renewal of our normal course issuer bid to repurchase some of its outstanding common share for a period of 12 months ending August 16, 2016. Going forward the corporation is in good position to pursue its growth strategy and to seize every business opportunity that arises. This completes my financial review. So back to you, Henry.
Henry Buckley: Thank you very much. Before I conclude my remarks and talk about the future, I wish to extend our recognition to you Martin for your hard work during the transitional period, especially at a time of significant M&A activity. We look forward to your continued collaboration as our VP, Finance and Control. We are also welcoming our new colleague, Eric Bussières, who will be joining Uni-Select as Chief Financial Officer at the end of November. Eric, would you like to say a few words?
Eric Bussières: Thank you, Henry. Good afternoon, everyone. I would like to express my gratitude to Uni-Select for giving me the opportunity to join your leadership team. I am excited by the prospect of actually contributing to the growth strategy of Uni-Select and looking forward leveraging my experience by joining the strong management team. Back to you, Henry.
Henry Buckley: Thank you, Eric. As we now turn to the fourth quarter and beyond, we reaffirm our strong commitment in our two-pronged growth strategy, a healthy combination of organic and accretive acquisition driven growth. Again just to reiterate the forecast adjusted EBITDA in the range of 7.5% to 8.5%. The second and third quarters are traditionally our largest ones. Now although we are more never committed to building a strong customer centric culture throughout all of our units that will drive us to achieve our customer recruitment goals quarter-after-quarter, creating maximum value for our customers remains the top priority that drive each and every decision at Uni-Select. In closing, I am pleased to announce that our Board of Directors has approved earlier today another quarterly dividend of $0.16. This decision reflects the Board’s and management’s ongoing commitment and level of confidence in our future. Thank you. And we are now ready to answer your questions. Sarah, could you open the lines up for questions please.
Operator: [Operator Instructions] The first question is from Anthony Zicka. Please go ahead. Your line is open.
Anthony Zicka: Hi, good afternoon, gentlemen and congratulations on excellent quarter. Henry, could you give us some perspectives on in terms of your U.S. operations at FinishMaster? Like, what are some of the growth opportunities ex-acquisitions and also would like to get some more color on your potential to further enhance margins?
Henry Buckley: Okay. Couple of questions there, Tony. So the first one, with regards to FinishMaster and the growth -- probably the organic growth and Steve Arndt is here. So maybe, Steve, can I turn this one over to you?
Steve Arndt: You sure can. We have a very robust pipeline of traditional accounts to help continue to grow that we have seen. We are also very well positioned in the MSO segment to continue to gain business as that part of the business consolidates.
Anthony Zicka: Okay. And then in terms of enhancing margins, can we see some more upside on that?
Henry Buckley: Yeah. I think we have given a guidance on both businesses. I think we are going to play little bit of switching ones here. You can prove me wrong, quite frankly the first and second quarters. So, we are working very, very hard and the margins as you saw in the first quarter. We’ve kind of given you kind of a range of where we think we are going to be. We have exceeded that in the last couple of quarters. So, I think we are still guiding to the same sort of range today. I think that would be fair and I think overall you’ve seen improved margins both at FinishMaster and also at Automotive Canada. And quite frankly, this is the first time we have seen the Canadian EBITDA margin disclosed as a discrete figure. But our ambition is obviously to continue to enhance margins wherever as possible.
Anthony Zicka: Okay. I guess a question for Steve, a follow-up. You noted that during the quarter you did have unfavorable product mix that impacted FinishMaster. How much of your business comes from MSOs and where do you see that number evolving to over the next few years?
Steve Arndt: A significant portion of our business comes from the MSO segment where we end is not a good prediction right now depending on how far the consolidation goes. We know that there is some continued growth in that, which we should experience the sales side of it. But we will see some continued unfavorable mix there because of the lower margins that the MSOs do offer us. So there will be some continued growth there but we should start seeing a flattening over the next few years I would say.
Henry Buckley: To be very clear, Tony, we’ve said. Steve has done a very, very good job at really putting together a model to service those MSOs, that is providing us with an operating margin that’s effectively a similar operating margin to our traditional business. So, I think we’ve got a very good operating model there to adjust to that growth. So if the MSOs continue to grow and we suspect they will gain some share over the coming months and years where that ends as thesis we don’t know. But I think we are well prepared to have that addressed and we’ve got a great model to attract quite frankly the MSOs as they grow.
Anthony Zicka: And Henry, one more question. With reference to organic growth, can you give us some of your outlook and what are going to be the key drivers or potential catalysts on the road?
Henry Buckley: I think that’s a question that both Gary and Steve can answer. But what we are expecting and what we are looking at right now is sort of at this point, low singles, low to mid singles for both businesses. We’ve had that kind of experience here in Q3, 3.8 in FinishMaster, 4.4 in Canadian automotive and I think that sort of normalized range. But if you guys, Gary, do you want to give some color on the Canadian business?
Gary O'Connor: There is no doubt that we are redeploying our sales effort, putting that new people who are very motivated, who will be helping our sales efforts, who have improved our freight rates for our customers, which obviously gives us a lift. And we are working with our product mix and offering to fully satisfy our needs for our customers. So, a lot of different aspects to help our growth continue.
Anthony Zicka: And Gary, this is for you. On a regional outlook, how does Western Canada look and how’s particularly Alberta doing?
Gary O'Connor: There is no doubt Alberta’s softer than the rest of Canada. It’s been affected, most of all in the oil patches. But in the large metropolitan areas, I mean, people are getting their cars fixed and it’s somewhat business as usual although a little softer. But nothing drastic and we firmly believe that we were highly invested in north part of the world and it will improve. But it isn’t tougher place right now.
Anthony Zicka: Okay. Well, thank you very much, gentlemen.
Gary O'Connor: Great. Thanks, Tony.
Operator: Thank you. The next question is from Justin Woo. Please go ahead. Your line is open.
Justin Woo: Thanks. Afternoon. My first question’s on the EBITDA margin, which was quite robust in the part side at around 8%. And I guess I was just wondering how much seasonality played into how the margin performance was in the quarter, noting that you guys said that Q2 and Q3 tends to be a seasonally quarter and maybe if you can elaborate on some of the other kind of factors that have contribute to that kind of performance?
Henry Buckley: I think couple things and then Martin, or Gary, please to hop in. At the end of day, this is the first time we’ve actually seen our EBITDA margin in the automotive part segment in Canada disclose. So, I think we are seeing improvement year-over-year for sure and without a doubt and I think we’ve hopefully made it very clear in the call today. Q2 and Q3 are strongest quarters, particularly in this business but also to maybe a slightly lesser degree in the paint and related product side. But this is certainly as we come in the fourth quarter, the softest quarter, if you look at seasonality in the FinishMaster business. I think Gary and his teams done a very, very good job of pulling all levers in terms of being able to work on the margin and that obviously making sure our buying conditions are appropriate, taken any opportunity to look at price increases that have been happening for the first time in a number of years in the Canadian automotive parts business. We’ve made sure we have taken every opportunity to buy ahead of those. Now given the size of our inventory, we don’t see the median impact in that but I think over time that’s been a contributing factor.
Justin Woo: Okay. That’s helpful. And you mentioned earlier that on the FinishMaster side, you guys took advantage of advantageous purchases, material purchases. Can you elaborate on how much that helped margin in the quarter and when you anticipate those positive effects to kind of wear off or if they will?
Henry Buckley: That’s just something. That’s just normal course of business for us. So we have counted out there. But as you are going to imagine, there is annual price increases in that business. That is something historically we would have seen happen every single year. And that will be correlated with the manufacturer’s price increase. We’re in a position right now financially that if we have an opportunity when a manufacturer raises prices, if we can take that opportunity to buy head on fast moving items, we currently will. So we don’t have a breakdown of how much that contributes specifically but you will know that anytime we have that opportunity to add price increases, we’ll certainly do that.
Justin Woo: Okay. And just lastly and just in terms of seasonality, I guess, I touched upon the seasonality. I mean, with the divestment of the U.S. businesses, I guess, maybe is it safe to presume that seasonality has increased versus in the past and maybe if you can give us a sense of how we should see the seasonality in both of the different segments in Q1, I guess ?
Gary O'Connor: I mean, seasonality, for Canada, I mean, we have winter and we sell a different mix of products, different prices at different parts of the year which sometimes affects our margins. There is not doubt in summer time, we sell more higher margin products and it usually affects our sales. But although it affects our sales, it’s not a huge, huge part of our world. In fact, I think the U.S. auto parts business had the same seasonality that Canada has. So on -- with the fact that Canada, U.S. is not in our part of our business, I don’t think our seasonality has been adjusted. I think as we said for FinishMaster, there is some seasonality that does come into play. It’s not as sort of dramatic but I think it probably hits us more related to things like the holiday season between Thanksgiving and Christmas. In that period, as oppose to sort of kind of spread evenly over the four seasons, if you will.
Justin Woo: Okay. So for the paint business, Q4 is typically a seasonally weakest quarter while on the Canadian part side, Q1 is that fair?
Gary O'Connor: Yeah, probably.
Henry Buckley: Yeah.
Justin Woo: Okay. Thank you.
Operator: Thank you. The next question is from Sara O’Brien. Please go ahead.
Sara O’Brien: Hi. Good afternoon.
Henry Buckley: Hi Sarah.
Sara O’Brien: Hi. Just going back to the stepped-up profitability on price increase, just wondered how much of that is driven by FX this year from suppliers. And just wondering how much of that might be repeatable in the future? Understanding that, usually it’s an annual thing or at least historically was? Just wondered, how much of those price increases will be FX related?
Henry Buckley: I think just two components. The FinishMaster business -- it has business oriented annual increases that come on sort of a traditional basis. So I think that’s obviously not related to FX at all. It’s just the industry. The Canadian side, I think as we disclosed before, we have not seen price increases in the Canadian market because of the exchange going to the opposite direction in the last few years. This is the first year, we’ve seen those price increase as they relate to exchange rates. I think what we’ve seen is some manufacturers come out a couple times this year. Some one, some twice and Gary jump in. And any time there is an opportunity, we’ll certainly look at that in line with how much they will obviously buy because they are not always enthusiastic about us sort of buying ahead of those price increases because it also impacts their level of profitability given the exchange rate fluctuation this year.
Sara O’Brien: Okay.
Gary O'Connor: That will be fair. Just probably companies. So there is some actual price increases over and above the FX in Canada to have seen this year to a certain extent but FX is driver for sure.
Sara O’Brien: Okay. When you talk about sell rates and improvement seen in Canada, can you quantify, I mean, there is, sort of a, like a percentage ratio, fill rate that you have achieved now and how much more room is there to go on that?
Henry Buckley: We don’t break that out separately. That’s not something we do. I think the fundamental issue is here. When a car is on the hoist in this business and we’re talking about the automotive business, right at the moment. When they need a part, either you have or you don’t. You’re not going to get that business next year or next week. So for us, we have been highly focused on making sure those parts are in stock in our DCs and available for our drivers at all time. It’s very, very tangible in terms of the increase in our fill rates. That jumped up a 4 point over prior year. So we haven’t actually looked at -- what that directly correlates to but we know for well from feedback from our customers that our fill rates are contributing to the sales.
Sara O’Brien: Okay. And then maybe just some commentary on the strategy for corporate stores in Canada, I wondered how the team is shaping up for that? And also what custom -- I guess merchant member reactions been thus far?
Gary O'Connor: Well, I mean, we’re building up our team with capabilities. We’ve hired people earlier this week. So we’re getting well-organized, so really pleased with the progress we’ve made. As far as our other members, I think they understand what we’re doing and I think they are supportive of our efforts. They know that we need to grow to keep our buying conditions and help them support their business in the future. So well, I think it's going to be very complementary.
Henry Buckley: One important hire that I do want to highlight and this is something that applies to both businesses quite frankly, is that as we continue to pursue focus on M&A, we are highly focused on making sure we can integrate these and bring in the synergies in a timely fashion. So we’ve hired as recently at this week as Gary says, a leader, Vice President responsible for the integration of our acquisitions, which are largely corporate stores today within the Canadian business. So that for us is very exciting contribution and I will make a big difference moving forward. Steve also aligned a team within the FinishMaster business that is focusing on the integration of those acquired company. So in both cases, we have an acute focus on making sure we are driving the synergies and driving the integration of those businesses into the store groups.
Sara O’Brien: Okay. That’s great. Thank you.
Operator: Thank you. The next question is from Benoit Poirier. Please go ahead.
Benoit Poirier: Yeah. Good afternoon, gentlemen and congratulations for the good quarter. Just to come back on the profitability, I was wondering if you could provide more color on the implied consolidated margin for Q4. On the pro forma basis, you’re still targeting 7.5% to 8.5% for the year, but given what you reported in the first nine months, I was wondering whether you're very, very conservative or whether we should expect a big decline in the margin in Q4 because of the seasonality?
Gary O'Connor: Benoit, if I may -- as you have said, because of the seasonality we should expect to be on the lower range of the guidance for the fourth quarter.
Benoit Poirier: Okay. So which means that low range 7.5% on the consolidated basis for Q4, its kind of a good number?
Gary O'Connor: The 7.5% to 8.5% is a annualized number. So it could be in fact lower in the fourth quarter given the higher elements in Q2 and Q3. So we don’t know what -- we haven’t forecasted a specific number for fourth quarter. We’re not going to share it anyway. But it could be lower than the 7.5%, that’s an annual range, right.
Benoit Poirier: Okay. And maybe if I can frame it differently, what would be the pro forma number for the first nine month in terms of consolidated EBITDA margin?
Martin Labrecque: We haven’t done that calculation, Benoit.
Benoit Poirier: Okay. Okay.
Henry Buckley: We’re giving you the first lesson here for the third quarter so.
Benoit Poirier: Yeah. I know that. That’s okay. And just for 2016, I understand it’s still early, but what are the plusses and minus, and how much can you drive upward the margins for 2016 and what are the key elements to consider?
Henry Buckley: Yeah. I think, Benoit, we don’t know exact time we just discussed. We’re in kind of an annualize plan of 7.5% to 8.5% and obviously, we’re all working very, very hard to continue to increase that range. When we know more we’ll certainly provide more. But the game plan is exactly what we’ve discussed. It’s a combination of both that organic growth we’ve discussed here today and making some very intelligent and accretive select acquisitions in both businesses. So that game plan is -- that is our game plan and that is not changing for ’16.
Benoit Poirier: Okay. And just maybe in terms of M&A group, could you provide some color about your pipeline right now what do you see?
Henry Buckley: What -- the high level answer to this is in both best businesses. I’m very excited about the opportunities that exist. We believe there is consolidation happening in both fronts. So in the Canadian side, the Canadian driver business today, they have succession issues kind of reiterating this a lot, because this is a -- the game plan doesn’t change quite frankly. We know these drivers are consolidating. We have a strong pipeline in Canada and we’re pretty comfortable that over the number of next few months and the next few years quite frankly, we’ll have more and more opportunities to build out that corporate store network, ending here the drivers that we chose to share with our current member group. We have a great runway there. Uniquely so proceed, that consolidation is continuing and probably accelerating in the U.S. base and that we see that as a continued opportunity. I don’t think Steve has any worry about the amount of work he has to do in this area for the next year.
Benoit Poirier: Okay. And any other cash deployment opportunities beside M&A Henry?
Henry Buckley: No. We’re going to continue to invest in the business to go beyond, we’ve kind of put in the level of guidance call it approximately $20 million as on ongoing basis. But as we continue to do things like brand our stores and invest in the business, probably it kind of something in that range is we see it.
Benoit Poirier: Okay. And then last question. Could you maybe give us an update on the private label? I mean, you introducing a new line in the mid-markets. So and it seems very nice potential, growth potential. So if you could provide some color that will be great?
Steve Arndt: Yeah. In Canada we did that, we open a warehouse in January. So I mean that the product growth has done really well, that is more contributing factor in the crew side and improve the margins that you’re been seeing. So it’s still a young brand and it still growing and there is still more opportunity there from the margin and from the selling perspective, so we are really pleased what’s happened so far.
Benoit Poirier: Okay. Congratulation. Thanks for the time.
Richard Roy: Thanks, Benoit.
Operator: Thank you. [Operator Instructions] The next question is from Michael Glen. Please go ahead. Your line is open.
Michael Glen: Hi. Good morning. Are you guys able to just provide us with what the year-to-date margin was in the Canada parts business?
Henry Buckley: We haven’t disclosed that, that is something that we have not broken out at all. We kind of said that we are going to leave that to Q3 as where we are today. And it becomes sort of clearly evident sort of now. And I think you can look at our discussion here and say Q2 and Q3 are the big ones. And you can probably take it from there. I’ll try to give you as many answers as I could, probably not going to be in the low end of the range in the fourth quarter, we are going to push for that but it is an annualized number.
Michael Glen: Okay. And then can you give us some idea of the direction of the Canada margin on the year-on-year basis?
Henry Buckley: Well, we’ve seen actually improvements. So that’s a good new story and that both businesses are seeing M&A margin improvements. Certainly, they both head in the right direction and we are highly focused on that as a strategy. I thought it was a balance. We make sure we balance it with the growth investments and the focus on the business, but both businesses are improving their margins for sure.
Michael Glen: Okay. And then just circling back on the price increases, given some of the ongoing depreciation of the Canadian dollar, should we anticipate this price increases to continue at least through call over the next six to nine months?
Martin Labrecque: I think so. I think we are starting to see some already big announcement ahead of time. So, I mean, probably a little more modest in last year, but we feel confident that we will see some going forward.
Henry Buckley: I mean, the math says that given that the huge swing in exchange rates, there is no way that those manufacturers were able to observe all of that in kind of one, it wasn’t reflected in one price increase. So there is probably more to come, but we just don't know that. I mean, for us, it’s not our call, it is manufacturers call. We are the distributor, so we get it when we get it.
Michael Glen: And historically, I mean, it's generally just been a pass-through for you guys as you get these price increases?
Henry Buckley: Yes, it has.
Michael Glen: Okay. And then just in terms of some of the M&A numbers in Canada auto parts, M&A was up 4.9 million contribution to the quarter. Given everything that you’ve completed at this point in time, should we expect -- can you give us sense as to what is the M&A, the topline contribution from the M&A that we should expect over say the next 12 months?
Henry Buckley: I haven’t annualized that amount. We just haven’t disclosed that. So, I mean, we have intentionally not put out numbers in every single press release for every single acquisition to make this a bit of math contest. So I think when you get to at least ones, these are nice tuck-in acquisitions and they do vary in size significantly. So we are probably not going to be disclosing anything. It’s truly very material then obviously will be in disclosure.
Martin Labrecque: And a lot of also are our existing customers.
Michael Glen: Right.
Martin Labrecque: So you don’t get the full lift on the sales price.
Michael Glen: Okay. And maybe just the tax rate, can you confirm what sort of tax rate we should be using in 2016?
Martin Labrecque: I think 33% is a good range.
Michael Glen: 33, okay. That’s it. Thanks.
Henry Buckley: Thanks, Michael.
Operator: Thank you. The next question is from [Alexander Zykov] [ph]. Please go ahead. Your line is open. Hi. Congratulations to you gentlemen, great performance. My question is you clearly have built a lot of talent on the M&A front. Just in terms of annual revenue that you think you have capacity to absorb. What would be the rough number and what you can acquire over 12 months and integrate into your business?
Henry Buckley: You know what it’s a good question, Alexander. We have not sort of limits on that right now. I think, I’d just point we are not limited by the pace we are on right now. And we've factored that pace, accelerating from where it is today and we don't have any concern with that. Certainly, if we get to a point where everybody wants to close in a certain day, that would be a challenge for us and we are not there yet. So, I think we have lots of runways still to accelerate those acquisitions and absorb them into the network. And we are always looking for larger deals too. And maybe just on that point, there is huge sort of -- here in Ontario, there a few targets of larger size. Can you talk a little bit where you are in the process? Are you sort of in the 8 to 17 in terms of doing something bigger? I know the timing is very difficult to forecast, but where you are along in the process for something bigger?
Henry Buckley: Yeah. Again, we haven’t disclosed any that of stuff for obvious reasons. But we’ve got a pipeline in both Canada and U.S. of nice targets. There are geographically spread all over the USA and they are geographically spread all over Canada. So, we haven’t a got concentration in one market or another quite frankly. Our strategy in the FinishMaster is to build out our geography and filling the gaps that we need and build density in those core markets. So, I think you’ll see us go down that exact runway to make sure we are focused on it. And the Canadian event is really about where store groups do come available and that’s not something we can predict in anytime in advance. So the only thing I can tell you is make sure that we are active in the marketplace. So when properties do come available and they are the right steps, they are the right valuation. We are being very responsible in terms of what we are going to do and what we are going to pay for those. Those properties will be in the game. Got it. All right. Thanks. Congratulations again.
Operator: Thank you. [Operator Instructions] We have no further questions registered at this time. I'd now like to turn the meeting over to Mr. Buckley.
Henry Buckley: Great. Thanks everyone. I really appreciate you attending. I really enjoyed those questions. Thank you very much for joining us this afternoon. We look forward to speaking to you again in February. So have a great rest of your day. Thank you.
Operator: Thank you. The conference has now ended. Please disconnect your lines at this time and thanks for your participation.